Operator: Welcome to JBT Marel's Earnings Conference Call for the Fourth Quarter and Full Year 2025. My name is Ellen, and I will be your conference operator today. As a reminder, today's call is being recorded. [Operator Instructions] I will now turn the call over to JBT Marel's Senior Director of Investor Relations, Marlee Spangler to begin today's conference.
Marlee Spangler: Thank you, Ellen. Good morning, everyone, and thank you for joining our year-end 2025 conference call. With me on the call is our Chief Executive Officer, Brian Deck; President, Arni Sigurdsson; and Chief Financial Officer, Matt Meister. In today's call, we will use forward-looking statements that are subject to the safe harbor language in yesterday's press release and 8-K filing. JBT Marel's periodic SEC filings also contain information regarding risk factors that may have an impact on our results. These documents are available on the IR website. Also, our discussion today includes references to certain non-GAAP measures. A reconciliation of these measures to the most comparable GAAP measure can be found on our IR website. With that, I'll turn the call over to Brian.
Brian Deck: Thanks, Marlee, and good morning. What a remarkable year 2025 has been as we completed our first year as JBT Marel. I can proudly say we are meeting our commitments we made and are realizing the tremendous benefits of the JBT and Marel combination. As a combined organization, we posted strong revenue growth and significant margin expansion. We capitalized on the anticipated recovery in protein demand with robust investment from the poultry industry. At the same time, we took decisive actions to improve the profitability of our meat and fish businesses. We realized meaningful synergy savings. Additionally, we saw an acceleration in our ability to capture order synergies over the course of 2025 as we integrated our complementary product and service capabilities. On the financial side, we achieved our goal of delivering adjusted EPS accretion within the first year of the transaction, and we exceeded the targeted deleveraging of our balance sheet. Looking ahead, we believe our continued strong orders reflect the exceptional value proposition JBT Marel brings to our customers. I'll let Arni elaborate.
Arni Sigurdsson: Thanks, Brian. From a demand standpoint, we benefited from our diversified portfolio and attractive end market exposure with full year orders of $3.8 billion and more than $1 billion in the fourth quarter. As anticipated, that performance was led by exceptional strength in orders from the protein end markets, especially poultry, which has seen a sharp recovery following roughly 2 years of underinvestment. For the year, meat, beverages and pharma were also strong growth contributors, while Prepared Foods showed improvement in the fourth quarter compared to previous quarters. Geographically, we enjoyed gains across all regions in 2025. From a consumer and secular perspective, poultry continues to be a winning food category due to its affordability versus other proteins, its versatility in flavor adaptation and overall health benefits. In response to strong consumer demand and good economics from price/cost spreads, our global processing customers invested in core JBT [indiscernible] solutions that enhance production performance, improve yield and reduce labor costs. We are pleased that our customer-focused go-to-market strategy coupled with our comprehensive solutions spanning integrated lines, service, aftermarket support and digital connectivity led to order synergies. In fact, our ability to capture cross-selling benefits accelerated over the course of the year as our organizational design, product training, unified marketing and branding efforts took hold. For example, our complementary technology in Prepared Foods allowed us to secure orders that included integrated JBT and model solutions for chicken nugget and hamburger processing lines. Our ability to provide leading technology across these full value chains is a key differentiator, helping customers create high-quality products with enhanced uptime and efficiency. As such, an important part of our strategy is to invest to strengthen our offering to provide integrated solutions across all key product lines. All in, we captured $30 million in order synergies for the full year with more than half realized in the fourth quarter. Those orders are then expected to convert to revenue in 2026. Let me turn the call over to Matt to discuss our earnings performance in 2025 and provide guidance for 2026, which reflects another year of solid growth.
Matthew Meister: Thanks, Arni. As Brian said, 2025 was a year of strong growth and excellent overall performance for JBT Marel. And as previewed last quarter, we recently released our new segment reporting, reflecting our go-forward organizational structure. The Protein Solutions segment includes businesses serving the initial stages of processing and harvesting of animal proteins. Prepared Food & Beverage Solutions segment predominantly focuses on downstream value-added preparation, preservation and packaging of foods and beverages into ready-to-eat or drink products. Now moving to a discussion of our results. Full year consolidated revenue of $3.8 billion exceeded the high end of our guidance as we successfully converted backlog to revenue, experienced solid demand for service and aftermarket solutions and continue to benefit from recovery in the poultry industry. The favorable year-over-year foreign exchange translation impact of $77 million was in line with our expectations. On a segment basis, revenues were $1.7 billion for Protein Solutions and $2.1 billion for Prepared Food & Beverage Solutions. For the year, we generated consolidated adjusted EBITDA of $600 million, representing a margin of 15.8%, which was at the midpoint of our guidance. On a segment basis, adjusted EBITDA margin for Protein Solutions was 20.1% and Food & Beverage Solutions margins were 17.2%. Overall, we delivered synergy savings as forecasted, realizing a $43 million year-over-year benefit, while we exited the year with run rate savings of approximately $85 million versus our 2024 baseline. Our savings were primarily driven by the initial efforts related to streamlining our organizational structure, optimizing public company and overlapping third-party costs and consolidating our spend with our supply base. Based on our solid execution for the first year, we are confident in our ability to achieve our goal of generating $150 million of run rate synergy savings as we exit 2027. Offsetting some of the synergy benefits was the impact of the higher tariff environment that we have experienced since April 2025. The cost to JBT Marel for the year was approximately $43 million, which is net of $15 million of cost avoidance through supplier negotiations and other cost mitigation efforts. After pricing actions, we estimate tariffs had an approximately 50 basis point impact on adjusted EBITDA margins in 2025. As forecasted, fourth quarter adjusted EBITDA margin of 16% declined sequentially due to the acceleration of tariff costs, along with investments we made to support our growth plans for 2026. Full year 2025 adjusted earnings per share was $6.41. As Brian pointed out, we are extremely pleased as this represents first year earnings accretion relative to legacy JBT's 2024 adjusted earnings of $6.15 per share. Turning to the balance sheet. When we completed the JBT Marel transaction in January 2025, our leverage ratio was just below 4x. At that time, we had a goal of bringing the leverage ratio down to 3x at year-end 2025. In fact, we ended the year with a leverage ratio of less than 2.9x, demonstrating the earnings and cash flow power of the combined company. Looking ahead to full year 2026, we expect healthy year-over-year growth in revenue, margins and earnings. Our consolidated guidance includes revenue growth of 5% to 7%, including a 1% foreign exchange benefit. Adjusted EBITDA margins are estimated at 17% to 17.5%. That represents year-over-year improvement of 145 basis points at the midpoint, with margin progression anticipated for both Protein Solutions and Prepared Food & Beverage segments. Included in our adjusted EBITDA guidance is the ongoing impact of tariffs, including Section 232, which remains in place. With the recent Supreme Court news on base reciprocal tariffs, we have begun to assess the potential impact this will have on our cost structure in 2026, and we will continue to monitor what appears to be a constantly moving target. Currently in our forecast, we have included approximately $45 million of higher full year tariff costs before pricing actions, with most of the increase occurring in the front half of 2026. Independently, we will continue to execute on our synergy savings, which we expect to realize year-over-year benefit of approximately $60 million. With that, we project adjusted earnings per share of $8 to $8.50 in 2026, a year-over-year increase of 29% at the midpoint, driven by EBITDA improvement and lower interest expense from the successful deleveraging of our balance sheet and low-cost capital structure. GAAP earnings per share guidance is expected to be $4.70 to $5.15. For the first quarter, which is typically our seasonally slowest, we are forecasting revenue of $920 million to $940 million and adjusted EBITDA margin of 14% to 15%. At the midpoint, this represents year-over-year growth of 9% in revenue and adjusted EBITDA margin improvement of 150 basis points. With that, let me turn the call back to Brian.
Brian Deck: Thanks, Matt. As Arni and Matt detailed, we executed well against our synergy plan for 2025. Looking forward, we expect to realize incremental benefits from supplier consolidation and value-add engineering projects designed to take out parts complexity and cost. We will also continue back-office resource optimization and have a road map for select manufacturing and distribution footprint rationalization. This allows us to leverage previous investments made in state-of-the-art distribution and low-cost manufacturing, further improving customer service and our cost position. We got off to a great start in 2026 with our presence at IPPE, the world's largest poultry expo. For the first time, JBT Marel's full integrated solutions were on public display, which demonstrated the value of our comprehensive product portfolio. Customers' response to the benefits of our integrated systems, service connectivity and know-how was very positive. Given the conversations about demand trends with poultry industry leaders, we have confidence in the continued investment momentum, including renewed investment on the prepared food side. That, combined with favorable economics of the industry, makes us optimistic that the strength in poultry equipment demand will continue into 2026. As you can see, we are excited about the growth path ahead. We plan to provide further details on our strategic growth priorities and financial targets at our upcoming Investor Day, which will be held on Thursday, March 26 in New York City. A live stream webcast and replay of the event will be available on our IR website. Meanwhile, I am very proud of the progress our organization has made in achieving our first year goals for the integration of JBT and Marel. We are capitalizing on our enhanced customer value proposition and scale. And financially, we achieved the objectives we established. Of course, none of this was easy, requiring hard work and deep commitment at all levels of the organization. To our teams across the globe, thank you. Together, we are transforming the future of food. Now let's open the call to questions. Operator?
Operator: [Operator Instructions] Our first question comes from Ross Sparenblek with William Blair.
Ross Sparenblek: Maybe just starting off with the order dynamics in the fourth quarter. Can you give us a sense of what end markets stood out? It seemed like AGVs are maybe flat in the third quarter. We're starting to kind of turn into 2026, whereas the fruit and vegetable looks like it's down for the year. I don't know if that's expected to continue.
Brian Deck: Sure. I would say, generally speaking, poultry remains the leader across all of our categories. and I would say, followed by beverages in 2020 -- as we ended the year 2025. Meat remains supportive as does fish. And we're starting to see some real momentum on the pet food side as well. And as you suggested, we do expect a nice recovery in AGV as we go into next year. So as we think about our ending backlog, we feel really good about the position we're in. And to further emphasize the poultry side, so when you look at our poultry orders, typically, and it was a very strong year, as you saw, Typically, that's somewhere in the range of 75% that goes to the poultry segment and then about 25% typically would go to the Prepared Food and Beverage segment. So it covers both segments just for informational purposes. And again, I think what we're going to see is continued investment on the front end and increased investment on the back end on the Prepared Food side.
Ross Sparenblek: Okay. That's helpful. And then maybe just, Matt, in the fourth quarter, did you guys call out the synergies between the R&D and SG&A? And then also, can you just maybe provide the expectations for R&D and SG&A for 2026?
Matthew Meister: Yes. We did not call out the synergies specifically to either R&D and SG&A. I mean -- but in general, the synergy savings that we saw in 2025 was predominantly in the SG&A part of OpEx, not in R&D. Going forward, our -- we split out SG&A and R&D in our segment disclosures. So you'll see that in the K going forward, but we aren't providing that guidance as a percent for 2026.
Brian Deck: The one thing I would just add on the -- sorry, just real quick, Ross, one thing that we are doing on the R&D side is harmonizing the accounting treatment between the 2 businesses, legacy businesses. So you'll see a little bit different structure. Quite a bit of JBT's -- legacy JBT's R&D, if you will, was in cost of goods sold. and whereas Marel is kind of all in one spot. So we're going to re-harmonize that according to GAAP. We made that change in Q4, and we'll make that adjustment quarterly, yes.
Ross Sparenblek: Okay. So this is the first quarter where we're going to have a full apples-to-apples as we think about...
Brian Deck: Yes. Q4.
Operator: Our next question comes from Mig Dobre with RW Baird.
Mircea Dobre: Just looking at the new segment reporting structure, maybe a couple of points of clarification here. I don't know if I missed this, but when you're thinking about the top line growth for '26, is there a way to differentiate between Protein Solutions and Prepared Food & Beverage? And related to this, I would imagine that a lot of the margin expansion that's factored into the overall guidance would flow through the Protein Solutions segment just because optically, it looks to me like this is where a good chunk of the Marel business is now housed. Do correct me if I'm wrong there? And maybe you can comment a little bit about margins perhaps for both segments. .
Matthew Meister: Yes, Mig, on the first part of your question on revenue for 2026, again, we're guiding to a 5% to 7% range overall. And for Protein Solutions, it's probably at the higher end of that range and for Prepared Food & Beverage, probably at the lower end of that range, which kind of gets you to that midpoint that we have in our forecast. And then from a margin perspective, we're expecting to see margin improvement in both segments, obviously, from the benefit of the higher volume as well as from the continued benefits from the synergy actions that we are taking. To be honest, they're relatively the same in terms of improvement with slightly higher improvement actually in Prepared Food & Beverage just because of some of the impacts that we saw at the end of 2025. We're correcting some of those issues and getting a little bit better flow-through in 2026.
Mircea Dobre: Got it. And you anticipated something else I wanted to ask about. You called out some -- maybe some inefficiencies in prepared food and beverage. Can you put a finer point on this in terms of what's been going on there? Is this the legacy JBT business? Is there something else? And what's the line of sight on getting that improvement operationally there?
Matthew Meister: Yes. As we somewhat forecasted in the last call that we had after Q3, we did have some challenges primarily on the AGV side. And we did see that impact us in Q4 as we predicted. And A lot of that is driven by some of their impacts from the end market from the higher tariffs, and that's impacting them more significantly just because they have a little bit of a more broader end market focus than the rest of the business. But we expect to see our ability through that -- those issues through Q1 and early Q2. So it should be relatively contained the first quarter, maybe a little bit bleed into the early part of the second quarter.
Mircea Dobre: All right. My final question on tariffs. So you sized the drag for 2026, but that was, as I understood it, sort of the gross number, it's ex pricing or any other mitigation. And I'm sort of curious, how are you thinking about pricing? I mean, are you in a position where a good chunk of this figure can actually be mitigated as the year progresses or not?
Brian Deck: Yes, Mig, it's Brian. So we have included in our forecast some mitigation on the pricing side. We do think that there will be still some net negative benefit perhaps in the 25 basis points range for the full year, maybe somewhere between 25 and 50 basis points. It really kind of depends on the status of the markets, right? We don't feel it's 100% on the customers' backs to take on these cost increases. So we're doing everything that we can on the cost side to mitigate that. So we'll continue to do that. But we are intentional -- we'll be intentional on select price increases where we think it's supportive from the market perspective.
Operator: Our next question comes from Justin Ages with CJS Securities.
Justin Ages: Just a question on capital allocation. Good progress on getting leverage below the target for the first year here. Just wanted to know how you guys are thinking about what to do with the capacity with the convertible coming up in May. Any detail there would be helpful.
Brian Deck: Yes. Well, let me start. I'll just say this, we are laser-focused on completing the integration, right? We still have some time to go there. So we don't want to get ahead of ourselves. We certainly want to get into that 2 to 2.5x leverage range before we start thinking seriously. That said, and I'll let Arni elaborate a little bit, there will be a time when we think we can get some of the benefits of what we've done on the protein side in other areas of the business.
Arni Sigurdsson: Yes. And I mean, how we are thinking about it and it kind of feeds through our messaging all along and the strategic rationale for the merger of JBT and [ Marel ] is, we see a lot of benefit when we have a broader portfolio that is serving an end market or a particular customer. So those kind of integrated lines and integrated solutions, that's where we see where the customer needs are, the opportunity to improve the operation of our customers and improve the value proposition. So kind of as things evolve and kind of we feel the timing is right, kind of as Brian said, kind of you can -- that's kind of an area that we'll probably be very much focused on to look at kind of where are the opportunities to strengthen our value proposition and be able to work better with our customers to partner with them on their journey.
Matthew Meister: Justin, just to touch on 2026 specifically, we did the convertible in September of 2025 to prefund the financing to retire the notes in May. So we're in a really good position here. We expect to be able to leverage the liquidity that we have on our revolving credit facility to be able to take out the convert that plus the cash flow that we will generate this year, we do expect all things sort of staying the way they are, that we'll be in the range of 2 to 2.5x leverage by the end of 2026. And then we'll see where we go from there from an M&A perspective, like Brian and Arni discussed.
Justin Ages: Very helpful. And then switching to tariffs. Can you give us a little more detail on where you are in the supply chain regionalization? I know you mentioned looking at some factories in the U.S. And then along with that, can you also comment on -- and I know it's a moving target, customers and their orders being impacted by this kind of moving tariff regime?
Brian Deck: Sure. So from a supply chain perspective, it's still relatively early days. We have already started moving parts suppliers. to -- from Europe to the U.S. where it's feasible. That takes a little bit of time just with product testing and first articles, et cetera. So that's further along, if you will. From a manufacturing side, we certainly are very busy filling our backlog. So we are starting that process as well. So that will be a continuum during the course of 2026. But I don't think we will be complete with that until more likely the 2027 time frame.
Arni Sigurdsson: Yes. And just to kind of emphasize like we do have, for example, on the poultry side, we do have a plant that kind of mirrors in the U.S. that mirrors a plant in Europe. So that's where we can kind of move faster, which is kind of really good because of how the poultry market is evolving. So that's kind of an area that we can maybe get some short-term benefit. But obviously, if you want to do more structural things, it will take longer. And then we also have strong distribution centers regionally in the U.S. that we're leveraging more and more directly for the local market.
Brian Deck: On the parts side, in particular.
Operator: Your next question comes from Walter Liptak with Seaport Research.
Walter Liptak: I wanted to ask about the sales synergies for 2025. Was that to your expectations at $30 million? And do you have a guidance number or an expectation for 2026?
Brian Deck: Sure. As we mentioned on the prepared remarks, it did -- the benefits on the synergies revenue side did accelerate through the year. And it's essentially as you might think, right? You get the organizational structure in place first, then you start training, get marketing, and it really did pick up through the course of the year. So again, $30 million with approximately half in the fourth quarter alone. So I would -- and that will convert to revenue in 2026. So I would say we are ahead of pace on our original $75 million cumulative revenue synergies by 2027. We haven't put a new number out there, but we will as part of the Investor Day at the end of March. But clearly, we're ahead of pace.
Operator: [Operator Instructions] There are no further questions at this time. I will now turn the call back to Brian Deck for closing remarks.
Brian Deck: Thank you all for joining us this morning. As always, the IR team will be available if you have any additional questions, and I look forward to seeing you at our upcoming Investor Day.
Operator: This concludes today's call. Thank you for attending. You may now disconnect. f